Operator: Good afternoon, ladies and gentlemen, and welcome to the DMC Global Fourth Quarter Earnings Call. [Operator Instructions]. It is now my pleasure to turn the floor over to your host, Geoff High, Vice President of Investor Relations. Sir, the floor is yours.
Geoff High: Hello, and welcome to DMC's fourth quarter conference call. Presenting today are President and CEO, Kevin Longe; and CFO, Mike Kuta. I'd like to remind everyone that matters discussed during this call may include forward-looking statements that are based on our estimates, projections and assumptions as of today's date and are subject to risks and uncertainties that are disclosed in our filings with the SEC. Our business is subject to certain risks that could cause actual results to differ materially from those anticipated in our forward-looking statements. DMC assumes no obligation to update forward-looking statements that become untrue because of subsequent events. A webcast replay of today's call will be available at dmcglobal.com after the call. In addition, a telephone replay will be available approximately two hours after the call. Details for listening to the replay are available in today's news release. And with that, I'll turn the call over to Kevin Longe. Kevin?
Kevin Longe: Thank you, Geoff, and good afternoon everyone. The dedication and resiliency of our employees during 2020 enabled DMC to advance its strategy during an extremely challenging year. After our record financial performance in 2019, the pandemic hit and severely impacted demand in our core energy markets. We moved quickly to resize the company and aligned our activity based expenses with much lower customer activity. Our efficient and highly variable cost structure and asset light business model developed over the past several years, enabled us to complete the restructuring process in two weeks and with only minimal restructuring expense. We reported full-year sales of $229 million, down 42% from a record $398 million in 2019. Adjusted EBITDA was $19.1 million versus $93.8 million in 2019. And adjusted diluted earnings per share was $0.07, down from $3.75 per share in 2019. We ended the year with a record cash position of $53.9 million which included $25.7 million raised through our at-the-market equity program. We also have a $50 million undrawn revolving credit facility. Throughout the year, we maintained our investments in research and development and innovation, which is reflected in the 24 patents we were awarded in the 131 patent applications we filed. Both of our businesses introduced new products and applications that further strengthened their competitive positions and expanded their addressable markets. We achieved one of the strongest safety records in company history. Both of our businesses completed the year without a single lost time accident. We also strengthened our market development teams, promoted a new Business President and added two talented Board members. The entire DMC team should be proud of their accomplishments in 2020 as I am. It was a very difficult but productive year. During the fourth quarter, well completion activity in North America's unconventional oil and gas industry continued to improve, albeit off a low base. This led to increased demand for perforating systems from DynaEnergetics, our energy products business, system sales increased 21% sequentially versus the third quarter. DynaEnergetics reported a 24% sequential sales increase in its primary North American market during the fourth quarter. The increase offset an anticipated decline in international sales, which were down 55% sequentially. DynaEnergetics' international orders primarily address large conventional oil and gas projects, and are typically of higher valued than North American projects. Before last year's anticipated fourth quarter, international demand was strong and DynaEnergetics customers have stated they expect a significant recovery in project activity during this year's second half. DynaEnergetics introduced more new products in 2020 than in any prior year. E&P companies are providing positive feedback on several new offerings, including the DS Lonestar and DS NLine perforating systems as well as the DS MicroSet setting tool. DS Lonestar is a compact system equipped with next generation high performance chargers that deliver large, ultra uniform entry holds and provide exceptional contact with the reservoir. In three recent field trials that utilized, oriented Lonestar systems, 98% of the perforating tunnels delivered fluid and proppant into the formation. By comparison, the perforating efficiency of our competitors' best performing systems is typically in a range of 80% to 85%. The technologically advanced E&P companies that performed these tests reported that the Lonestar system delivered consistent hydraulic fracturing treatment across the entire formation, while also reducing the required pressure pumping horsepower by more than 20%. The trials were completed with no mis-runs or mis-fires illustrating the safety and performance benefits of our IS2 Intrinsically Safe initiating system, which is at the heart of all of our DS products. To-date, DynaEnergetics has deployed more than $3 million IS2 systems without a single safety incident. The DS MicroSet setting tool has brought a step change improvement to a critical component on the perforating tool strength. DS MicroSet is used to set the frac plug at the end of each stage in a multi-stage well, and it is by far the safest, most reliable and most compact setting tool on the market. Similar to the shape charges in our DS perforating systems, DS MicroSet comes with the power charge pre-loaded. In addition, it does not require a firing head and is initiated by our wireless IS2 Intrinsically Safe ignitor. It is fully disposable, eliminating the dangerous redress process required by traditional selling tools. It also works seamlessly with our DS perforating systems and enable our customers to streamline their supply chains. Customer reaction to the performance of DS MicroSet has been very favorable. In the current environment, certain operators and service companies have taken a short-term view and are making decisions solely on price. Rather than focusing on safety, reliability and total operating costs, these companies are deploying lower cost older technologies or undifferentiated pre-wired perforating components from third-party manufacturers. DynaEnergetics is taking a longer view and is focused on educating the market about the comprehensive benefits of our factory assembled performance assured systems. Customers deploying our DS systems are seeing improved synergies between their frac and wireline operations and are completing more stages per day with fewer people and less infrastructure. We believe several of the pre-wired components that have entered the market violate DynaEnergetics patents and we have initiated legal action against these component manufacturers. The COVID-19 pandemic led to a significant slowdown in economic activity, which in turn reduced energy demand and led to a steep drop in oil and gas prices. This created a very difficult environment for E&P companies and their service providers. DynaEnergetics supported its customers during the period of very weak activity and low pricing. We are optimistic that a swift vaccine rollout will aid the economic recovery, support higher energy prices and improve demand for our solutions. As well completion activity continues to improve, we are taking steps to restore our profitability. DynaEnergetics recently announced a price increase that will take effect during the second quarter. NobelClad, our composite metals business is forecasting a relatively slow start to the year, which reflects the late cycle nature of its industrial end markets. NobelClad entered 2021 with a $40 million order backlog, which was approximately 25% higher than at the start of 2020. In addition, the blended contribution margin of the associated orders is a strong 44%. We remain confident that several large international orders delayed by the pandemic will be awarded to NobelClad in the coming quarters. We also believe the medium to long-range outlook for NobelClad remains very positive as the business continues to expand its addressable market with new composite metal applications. I'll now turn the call over to Mike for a review of our fourth quarter financial performance, and a look at first quarter guidance. Mike?
Michael Kuta: Thanks, Kevin. Fourth quarter sales were $57.1 million, up 3% sequentially and down 34% versus last year's fourth quarter. DynaEnergetics reported fourth quarter sales of $35.3 million, up 3% sequentially and a decline of 45% versus the same quarter last year. North American sales increased 24% sequentially, which more than offset soft international demand. Sales at NobelClad were $21.8 million, up 3% sequentially and flat versus last year's fourth quarter. Consolidated gross margin in the fourth quarter was 21% down from 25% from the third quarter of 2020 and down from 35% in the fourth quarter of 2019. The decline from last year, primarily relates to lower average selling prices at DynaEnergetics and a less favorable project mix at NobelClad. DynaEnergetics reported fourth quarter gross margin of 24% versus 24% in the 2020 third quarter and 38% in last year's fourth quarter. NobelClad reported fourth quarter gross margin of 18% versus 26% in the third quarter and 27% in the year ago fourth quarter. Looking at our fourth quarter expenses, consolidated SG&A of $12.5 million increased 8% versus the third quarter and declined 22% versus the year ago fourth quarter. We reported a consolidated adjusted operating loss of $736,000, which excludes $82,000 in restructuring charges. Fourth quarter adjusted net loss was $825,000 or $0.05 per diluted share versus adjusted net income of $9.5 million or $0.65 per diluted share in last year's fourth quarter. Adjusted EBITDA was $3.6 million versus $17.6 million in last year's fourth quarter. DynaEnergetics reported fourth quarter adjusted EBITDA of $4.1 million, while NobelClad reported adjusted EBITDA of $1.9 million. We further strengthened our balance sheet during the fourth quarter and ended 2020 with cash and marketable securities of $53.9 million, including $25.7 million raised through our at-the-market equity program initiated during the fourth quarter of 2020. Looking at guidance. First quarter sales are expected to be in the range of $55 million to $62 million versus the $57.1 million reported in the 2020 fourth quarter. At the business level, DynaEnergetics is expected to report sales in a range of $37 million to $42 million versus the $35.3 million reported in the 2020 fourth quarter. The wide sales forecast range is due to the recent severe winter weather, causing disruptions in Texas. NobelClad's sales are expected in a range of $18 million to $20 million versus the $21.8 million reported in the 2020 fourth quarter. Consolidated gross margin is expected in a range of 22% to 24% versus 21% in the fourth quarter. Fourth quarter selling, general and administrative expense is expected to be approximately $12.5 million to $13 million versus the $12.5 million reported last quarter, while amortization expense is expected to be approximately $325,000. Interest expense is expected in a range of $150,000. Adjusted EBITDA is expected in a range of $3.5 million to $5 million versus $3.6 million in the 2020 fourth quarter. Given the uncertainty regarding timing of the COVID-19 vaccination rollout, and its impact on economic activity and energy demand, we are not yet providing full year sales and earnings guidance. We do expect 2021 capital expenditures will be in a range of $12 million to $15 million. In addition, full-year amortization expense is expected to be approximately $1.1 million versus the $1.4 million reported in 2020, and interest expense is expected to be approximately $425,000, down from the $731,000 reported in 2020. With that, I'll turn the call back over to Kevin.
Kevin Longe: Thanks, Mike. We are encouraged by the improving strength of our end markets. We have entered 2021 with two very well run businesses and the strongest balance sheet in company history. More importantly, we have an exceptionally talented team of innovative and determined employees. They have supported the company and each other during a very difficult year. And as I mentioned before, I am extremely grateful for their contributions. We are now ready to take any questions.
Operator: [Operator Instructions]. And the first question is coming from Stephen Gengaro. Stephen, your line is live. Please announce your affiliation and pose your question.
Stephen Gengaro: So a couple things, Kevin. If we could just start with the fourth quarter on the DynaEnergetics side, the gross margins and I was just, you had a really good third quarter. I think they were basically flat in the fourth quarter with a little higher revenue. Can you give us a little more color around that?
Kevin Longe: Yes, I mean they are basically flat quarter-to-quarter. We have a low fixed cost, high variable cost business. There is some absorption obviously when revenue picks up or volume picks up. But it was relatively minor and didn't offset some of the product and geographical mix that we have for the quarter. And so, but as you can see the gross margins have kind of flat lined at that 24% compared to where they were a year ago with 38% to 40%.
Michael Kuta: And Stephen, just to emphasize on the geographic mix in the third quarter, we had $9 million in international and $4 million in the fourth quarter. So we actually had unfavorable mix, fairly significant unfavorable mix there from a geographic standpoint than from 24% margins.
Stephen Gengaro: Okay, great. That helps. I was going ask while we are on the topic, international is a little bit, a little bit lumpier right, I mean the second quarter was really strong than the third quarter. How should we think about that in 2021? I mean is the fourth quarter, a bit of an anomaly or should we just want to think about that as a -- you see international activity as a proxy for that business, or is there any sort of specific drivers we should look out on the international side.
Michael Kuta: Yes. Stephen, it is very, very lumpy and I think it's going to be soft in the first quarter. We expect it to pick up after that -- after the first quarter, but in DynaEnergetics that's a $30 million to $35 million business, where we only did $4 million in the fourth quarter and again it will be a late like first quarter. So we expect both businesses to pick up way a bit second quarter and beyond.
Kevin Longe: And we're expecting a sequential 2021 increase in international activity over 2020. So just emphasizing the quarter was an anomaly.
Stephen Gengaro: Great. Okay and then just one final one. You -- you've talked about this overhang of component low cost inventory in the channels and activity seems to have picked up pretty well in the back half of the year and it seems to continue to be strong, notwithstanding the troubles that people and tax are dealing within the short term, but where are we in that process, mainly you announced the price increase and where are we in that working the low cost stuff through the food chain and starting to maybe get kind of this reacceleration of the integrated products.
Kevin Longe: So we chose not to take a fair amount of business in the fourth quarter. We saw a fair amount of low priced selling of components, more so than systems. It's probably best illustrated by -- we have one competitor that was up over 60% in their Energetics and close to 30% in their systems. But their revenues for the quarter were only up 18%. And so our thoughts on that is that was clearly a selling through inventory and are trying to regain share at low prices. And what we felt were unacceptable profit margins. They don't serve our customers or the industry or ourselves well in those situations, particularly within the elastic demand. And so we saw a fair amount of discounting in the fourth quarter from already low prices, I mean DynaEnergetics which we're talking about here, the average selling price per gun is down significantly in 2020 from where it was in 2019. But we don't need practice making guns and so there is a limit to how far we will go to pursue business and we do not earn our business on price, we earn it on technology and we will support our partner customers so that they're competitive in difficult markets. And so it's kind of a long answer but we saw a fair amount of inventory coming out of the system in the fourth quarter, and we'd expect some of it in the first quarter of this year, but the majority of it should be out and our price increase is targeting the second quarter of 2021 when we're hoping that our -- the activity is stronger for our customer partners in the industry.
Operator: Thank you. And the next question is coming from Tommy Moll. Tommy, your line is live. Please announce your affiliation and pose your question.
Tommy Moll: Yes, same. So coming out of the last downturn, Kevin, you took significant market share on the DynaEnergetics side and I think a lot of that was driven on your ability to nudge the industry toward a systems type orientation, at least for a chunk of the market where you were the leader, are the leader. I wonder, in this current context, at least as far as Q4 goes maybe you lost some share, but it was more just liquidating inventories at the competitors, it was a driver more than any kind of shift in real customer preference on system versus component. So I'm trying to peer in the crystal ball here, and think about as we go into this year. If there is another big share gain opportunity in front of you, or have you seen anything in terms of customer preference where you ought to be able to capture a lot of that back or maybe you can go beyond where you were the last time.
Kevin Longe: Yes, I mean we've -- we lost a little bit of share in 2020, but for the most part, we maintained it. We maintained most of the -- our partners maintained their reliance on our systems and we have a very strong value proposition. We have a differentiated product that to put it in perspective, the cost of perforating systems as a percent of an average completion job is less than 2% of the overall cost to the E&P. And yet our systems with -- when we look at the -- the technologically sophisticated companies that are deploying them, the number of stages that they're able to do per frac spread is up 35%, possibly 40% year-over-year. And one of the reasons for that, not the entire reason, but one of the reasons is they are deploying our systems. And so our systems are creating value in the completion that far exceeds the price of the systems themselves and even the modest margin increases that we're looking for are a fraction of a percent of the overall completion. And so because of the small cost, but the leading technology and how it enables a more efficient completion across the board, we would expect to see our share increase or continue to increase based on the performance of the guns themselves, but the efficiency of the whole operation. And we sell it at market pricing. We're not significantly higher than the market. And, Yes, we have a differentiated versus an undifferentiated product. And so we would expect the share to pick up, but we also are focusing on the leading customers who are looking at the total value proposition and what our systems, how our systems help enable them and their customers to be more successful rather than just getting it down to the lowest common denominator and that's unit pricing.
Tommy Moll: Thank you, Kevin. That's helpful context. One quick follow-up on Dyna and then we'll move on to different topic, but just circling back on the international dynamic versus North America clearly there has been a divergent trend there. And then in your guidance for the first quarter, there is a big swing for North America, which is understandable given some of the disruptions ongoing as we speak today. So maybe bracketing North America for a second. Just on the international side, can you help us anchor, does this -- does it seem like those sequential here is, maybe first quarter not all that different from fourth quarter, second quarter not all that different from first quarter, but then third and fourth ought to be picking back up again or would you sketch it differently than that?
Kevin Longe: We think the second half of the year will be stronger than the first, but we expect a stronger second quarter than we do the first quarter.
Michael Kuta: And the first quarter they look like the fourth quarter and that's baked into our guidance.
Kevin Longe: Yes. And our guidance reflects the unfortunate situation happening in Texas right now, and we wish everybody there, all the best during a very difficult time. And as we previously mentioned, an odd quarter from an international standpoint for DynaEnergetics and just a soft quarter for NobelClad also. But we expect both businesses to show incremental growth year-over-year and a little bit stronger in the back half than the first half.
Tommy Moll: Got it. That's very helpful. Thank you, Kevin. I wanted to pivot to M&A, which has been core to the strategy for some time. I'm curious how full year pipeline is or how active your discussions are currently? What -- just any kind of anecdotes you can give us there maybe about what end markets you'd like to expand into or grow your presence in, although you can't go that far, I understand. Just any context on the pipeline would be helpful. And then also I just have to ask, should we be connecting the dots here with, you've got a pretty substantial cash and marketable securities positions. Is M&A a likely priority for some of that dry powder or is there a different priority?
Kevin Longe: It is a likely priority but it's longer term rather than near term. And our pipeline is one that I need to say that we use a rifle not a shotgun and we're very selective on companies entering that pipeline and how far we go down with that. And I think that we like the markets that we're in and we're going to continue to support those and look at bolt-on opportunities when it makes sense when it's a product that can expand the total available market or improve our competitive position but we're also not opposed to markets outside of our two markets today. And we look at technology driven companies with advanced manufacturing, which is what we done or created in our existing markets and that's led to the differentiation and stronger shareholder returns over time.
Operator: Thank you. And the next question is coming from George O'Leary. George, your line is live. Please announce your affiliation and pose your question.
George O'Leary: Just curious obviously being done here in Houston, I can see it on a -- on a daily basis and we've had heating power water issues down here. Just given your facility in Blum, Texas, I wondered if you could talk logistically about what are issues, what are issues, kind of just describe the situation a bit and then maybe to the extent you can and I realize the situation is very much still fluid, but how much that has factored in those issues have factored into the Q1 '21 guidance.
Kevin Longe: Yes, I mean we've lost, if you will, a week of production essentially in Texas and it chose not to have employees come into the facility when the roads are bad and all the other things that are going on, but I will say, had we stayed in production, we would have still had a difficult situation because our customers in a lot of the -- the well sites have stopped or lost their productivity. And we expect to see that start coming back online next week, and we can probably close the gap on product sales relatively, quickly more so than some of our customers can close the gap on completing wells. So we feel that we're going to be able to meet the needs of our customers and it really is dependent upon how successful they are coming back online.
George O'Leary: Great.
Kevin Longe: Regarding the -- Yes, regarding the impact, I would say it's -- Yes, Mike, what is it? 5% to 7% maybe or?
Michael Kuta: Yes, we look at it as a couple of million dollars that could get pushed out into the second quarter. So we've adjusted our guidance to reflect a bit of a wider range to see we might get those orders out, but again as orders might go up in Q2.
Kevin Longe: And again it's good -- our customers get up to speed.
George O'Leary: Got it. Thank you, guys both for that. And then just back on the DynaEnergetics margins, just as we think about maybe, we have taken some of this noise out that we're seeing right now and some of the noise in the fourth quarter with regard to mix. As we think about Q2 '20 plus, is there an incremental margins range that you would push us to or what would you expect normalized incremental margins to be in the back half of the year? Maybe any framing there would be helpful.
Kevin Longe: Yes I think we are hesitating to give guidance on revenue and margins for the back half of the year, because there are so many variables with -- it's all quite frankly driven by the vaccine, economic activity, how that impacts oil and gas and our market demand. We expect our market share to be steady to improving and then, we announced an initial price increase, but there is still a lot of time between now and when that takes effect. And so it's just hard to forecast the margins outside of the -- outside of the first quarter.
George O'Leary: Maybe another way -- do you expect -- do you expect higher margins as we progress through the year without regard to magnitude?
Kevin Longe: Without a doubt.
George O'Leary: Perfect. And then I'll sneak one more in, just more born out of curiosity than anything else. Press release and in your prepared remarks, you guys talked a bit about the Lonestar system and Lonestar shaped charges which is fascinating and I'm just curious, is it the tunnel is going into the desired location and just the rubblization caused by the shaped charges that allows -- reduced 20% reduction in frac horsepower based on -- based on the field trials that you've seen or is it something else? Just curious you can peel back the onion a little bit there. I thought that was super interesting.
Kevin Longe: Yes, it's both the alignment and the type of channels that these shaped charges are making that are improving the performance. And the combination of the proprietary shaped charge and the size of that charge and the alignment, and the accuracy of that alignment is what's really creating the increased performance of our products.
Operator: Thank you. And the next question is coming from Gerry Sweeney. Gerry, your line is live. Please announce your affiliation and pose your question.
Gerry Sweeney: Similar question to Tommy, but maybe a little bit different. Last market cycle, I think it was more about DMC introducing the systems, proving their effectiveness coming into this cycle of new products. Now you have data on improved operations, you're less shy of putting the data out there, than I think you were several quarters ago, plus a highlighted synergies. What are the discussions with potential new customers in terms of getting them over the hump and buying from the product. I know there's nuances even internally with some of your clients, but and E&P versus services. But curious as to how that's developing especially with some of this data that you are putting now in terms of cost improvements.
Kevin Longe: Yes. Well we're -- first of all, we're not trying to be all things to all people, we're trying to focus on a select group of companies in the market that understand the technological benefits, but also the business model benefits and are focused on total creating total value for their customers through less time, greater efficiency, greater end result in terms of barrels per oil per day. And so, in that the effort is primarily one, of educating people to understand what the total value proposition is both at the exploration and production company, but also at their service company partners who we certainly hope are our partners. And so it's an education process at both because there is end result, what it means to the safety, reliability, operating efficiency of the completion itself, but there is also a significant business model advantage to the service company, because there are less people, less facilities, less working capital tied up in our area of business than if they're working with others. And so it's, it's having them get comfortable with understanding that story and the data that we have that supports it and also being comfortable with us as a company that we are true partners. We're interested in their well-being as well as ours, and that we're medium to longer-term focused rather than short-term focused. And that whole approach naturally lends the dialogue and partnership relationships with the leading people in the -- in the industry.
Gerry Sweeney: Got it. Are sales moving more toward the E&P or getting specked in? Obviously, again, cost savings we are seeing -- you're a very well known entity now.
Kevin Longe: So we sell exclusively through our service partners, we don't sell direct to the E&P. And, but we are seeing an increase in specifications coming from E&Ps where they're asking their service companies to consider using our products. But it's very important that we are interested in the health of our customer partner service companies as well as our own suppliers and that the ecosystem is from us to the service company and the service company to the E&P.
Gerry Sweeney: Okay. Couple more shorter questions here. Market size, I want to say the last cycle $1 billion, and $1.5 billion obviously, you also introduced the MicroSet tool, which I think increased the market opportunity. Do you think the market size gets back to that $1.5 billion this cycle, and with or without MicroSet?
Kevin Longe: I think it certainly does with MicroSet. I think there is a multiple energy solution as we move forward. I believe that our, our target market is important and sizable both in oil and gas. Gas, we see increasing particularly in power applications. There will be probably some decreased consumption on the oil side. This market -- the market should be smaller, but in total are very attractive and so we would expect to return to revenues that are equal to or greater than where we were in 2019. And again, we don't compete on price. We try to earn that revenue through differentiated products that create real value for our customers and we're going to continue focusing on that, it's what's represented our -- by the patents that we've achieved this past year and the applications. And so we expect the market to be a decent sized market in 2023 albeit smaller but probably tighter and hopefully more profitable for our partners as well as our company.
Gerry Sweeney: Got it. One last question. This is in the international side. The Indian tender was the thing that always popped up, not so much recently, but is that part of the push out on the international, that could be a chunk of change on occasion --
Michael Kuta: I mean there is -- it's, Yes, it's various tenders in the -- Middle East, India markets, so Yes it is has been lumpy. There's been some push out there, but again we expect, as Kevin said for this business, it's a strong business with very strong margins and we expect it to be on track this year just slow out of the gate in the first quarter. So we're not worried.
Operator: [Operator Instructions]. The next question is coming from Matthew Galinko. Matthew, your line is live.
Matthew Galinko: Hi, thanks. Good afternoon. Thanks for taking my questions. I mean, first you touched on pursued legal action against maybe competitors infringing on your IP. To the extent you're willing to talk about it, what sorts of outcomes are you looking for on that? Is that -- do you think about maybe extracting licensing fees for technology used or do you feel you looked at sort of just profound your position? And I have a follow-up.
Kevin Longe: Yes, our model is not one of licensing, at least, it hasn't been and we, we don't want people to copy that technology that we've put a significant investment into developing in the first place. And we -- our customers to get a return on the technology that they deploy. We need to get a return on the technology that we develop and there is no free lunch and we just want people to not copy us and use their own technology.
Matthew Galinko: Got it. Okay. That makes sense. And then it sounds like you had a little bit of deal slippage on the cloud side of the business just expand on that a little bit and talk about your confidence on those deals staying with you and what kind of delays and push outs, are you anticipating?
Kevin Longe: Yes, we've seen push outs from anywhere from a quarter to two quarters for the most part. I think it is important to highlight that our backlog was up and going into 2021 versus going into 2020 and so we are seeing good activity and we'd expect that to pick up later in the year also. Just because of the uncertainty that exists with -- till economies get back to more of a normal times, we have seen delays in construction projects and -- particularly the larger projects that the NobelClad would get involved with.
Operator: Thank you. There are no other questions in queue at this time. I'd now like to hand the call back to Kevin Longe for any closing remarks.
Matthew Galinko: We appreciate everybody's interest in our company and the work that we are doing. We look forward to working with you and talking with you again as the year unfolds. We certainly hope that everybody stay safe from pandemic and difficult weather, with our Texas friends and family. And look forward to the next call and hopefully a stronger back half of this year as we get some of the difficult situations in the world behind all of us. But thank you for your interest in our company.